Peter Podesser - Chairman and CEO:
Daniel Saxena - CFO:
Peter Podesser: Good morning, ladies and gentlemen, welcome to our First Quarter Earnings Call and thank you very much for taking the time. As usual, Daniel and I will be guiding you through the key elements of business and financials and thereafter looking forward to a lively Q&A session. We are looking at our second best starting quarter of the year and still we have to stay, I would say, as expected against an extraordinarily strong first quarter 2024 that revenues and earnings are down compared to last year's Q1. I think we have to put this also into perspective, not just because we had, let's say, a significant project in India here in our defense business of approximately EUR10 million revenue last year in the first quarter. I think we also have to see that the first quarter this year is also above the average quarter in 2024 in regards to, let's say, revenues and earnings when we look, let's say, at the overall and I would say also normalized development. Looking at the structure of the business and looking at the start of the year, we see it as a very solid and satisfying kickoff and this gives us also the confidence here to, let's say, still be fully convinced that we are on track to reach our full year targets. We will get into this later. If we look at the structure of the business in the first quarter of the year, I think we are replacing a significant dependence on a single element of business against a good spread of the business regionally, but also in terms of end markets. We are seeing significant growth here in Europe with about 34% continued good development of our industrial business as well as the Clean Power Management side. And we are seeing a very strong growth in the U.S. with 61% and overall in North America 42%. I think we also have to acknowledge that especially the U.S. figures are including some pull-in effects as a precaution to avoid potential tariffs. Before we go into the usual sequence here, let us look into a potential effect here of tariffs, especially between the U.S. and the EU for a moment. I think we have taken very early and immediate measures back at the beginning of this discussion and in a very simple way and simple format, we worked on pull-in of orders here and higher shipments to our customers, as mentioned above, which I think bridges here or builds a bridge here for both parties, our customers and ourselves. We have our fuel cartridges supply chain out of Canada, also running at full steam here since the beginning of the year. And we did some more stocking, let's say with us, but also with our logistics partners, in this case Kuehne & Nagel already early on. On both ends, on our cartridge supply as well as the fuel cell part, we are working also on the localizing. Local filling is expected to happen within, let's say, autumn time and also our setup of manufacturing and assembly in the U.S. has been part of our plan since setting up our own presence in the U.S. last June. The CapEx therefore, is within our plan and, let's say, potential tariffs on components we might not be able to fully absorb. I think we will have to work here with our customers to see what kind of split we can find here. Overall, a 5% to 6% pricing impact, I think, is what we have to look at, but we cross the bridge when we are there together with our customers. In a summary, besides these elements, we also work on cost down for components here to, at the end of the day, have the residual impact on the margin as minimal as possible. For completeness sake, I think if we stay within those expectations and boundary conditions, this is also built in in our assumptions also for our year-end figures. Now, looking at the sales and the sales development, as said, we are looking at a negative deviation here of 3.6% year-on-year, resulting in sales of EUR38.6 million compared to approximately EUR40 million in last year's Q1. If we look at, let's say, the distribution, I mentioned already the regional growth. If we look into the segmental part, we can see that, naturally, the clean energy part shows a decline here of 7.8%. I mentioned already the defense business here in India. But at the same time, we still see the industrial part of the business here showing a continuous growth here of approximately 15% within the clean energy segment. With the decline of or the relative decline to the clean power management business, the total part of the clean energy sales came out at 73.5% compared to 76.9% last year. On the other hand, the clean power side, a solid growth here of 10.7% to above EUR10 million of revenue in the reporting quarter. And I think here the distribution of business here, again, across the end markets, their existing customer business, but also new customer business contributing to the result, to the positive result here for the clean power side. If we now look at the order intake, we are looking at the backlog that is at EUR84.6 million against the EUR104 we entered the year. Also here, I think we have to remind ourselves that we had almost EUR60 million of order intake here in Q4 of last year. And if we look at our project pipeline, we are confident also to turn this ratio around, I'd say, going further into the year. Overall, looking at the development also of margins and earnings, Daniel will give you a good view. I think as you look at it, you can see the investments we have done here in further structure, in further expansion, naturally is also reflected in our overall cost structure. With this, I would like to hand over to Daniel to lead you through the earnings.
Daniel Saxena : Thank you very much. Thank you, everybody. Good morning. Thank you for joining the call. As Peter already mentioned, it's hard to beat the comparable Q1 2024 on a quarterly basis. Nevertheless, when we look at the Q1 in terms of revenue, but also in terms of key financial KPIs, we believe it's a very solid quarter that we've delivered. Peter already mentioned the revenues, even though they decreased by 3.6% quarter to quarter, putting it in an overall perspective, it was revenues in the quarter on the higher side. And if you look at the EBITDA adjusted margin, we achieved 16.4%. That is an expansion. If we look on last year, full EBITDA margin, which was 15.2%, we're looking at an expansion of 1.2%, even though compared to the first quarter 2024, obviously it's a contraction. If we look at the EBITDA adjusted margin, we reach 11.7%. That is also an expansion. If you look to 2024, full EBITDA margin by 1 percentage point. We generated cash flow from operating activities of a solid EUR7.1 million. And I would like to go through a couple of key KPIs right now in a little bit more detail. Starting with the gross profit, the gross profit margin reached 44.3%. We were almost on the level of Q1 2024 when it comes to the gross profit margin, which was in 2024, as we mentioned before, a rocket margin. The gross profit itself declined by 4.3%, which of course is also a function of lower revenues. Overall, we continued to establish a sustainable and healthy gross margin level, which is a key driver for our profitability. And we're still looking at our growth and expansion paths and drive this, and also make sure that the gross margin in light of this growth path remains stable. What are the key impacts on the gross margin in Q1? If you look at the segment clean energy, we are obviously profiting from a more favorable average U.S. dollar to euro exchange rate, which on average was 3% stronger than in Q4 2024. That all of course benefited our gross profit. And in combination with roughly 60% higher U.S. revenues compared to Q1. On the negative side, in the segment clean energy, we're looking at a weaker average exchange rate of the euro against the Canadian dollar, roughly 2.5% weaker compared to Q1 2024, with a decent portion of Canadian revenues from Canada that increased by 6%. On the positive side, if you look at the segment clean power management, the gross margin expansion was mostly driven by SFC Canada and the clean energy, sorry, clean power management products sold by SFC Canada. What we see is that the gross margin in both segments, I mentioned that before, but let me repeat it, are on a healthy level with the segment clean energy showing a contraction compared to Q1 2024. However, the margin itself is well above the full year levels of 2024. Margin in Q1 was 49.1% that compares to the 49.7% in Q1 2024. However, 246.6% for the full year 2024, sorry. Driver specifically, one more time in that area, is of course we are lacking the strong margin revenue from the defense sector, which we had in Q1 2024. That was however compensated partially, as I mentioned before, by U.S. revenue, which have favorable margins. And also we increased the share of revenues from the industrial sector, which tend to be stronger margin or higher margin also by 15%. Looking at the gross margin of the segment clean power management, we realized the gross margin of 31.2%, which is definitely on the higher side of the gross margins realized in that segment. Remember in Q1 2024, we were looking at 28.1%. And in fiscal year 2024, we had 28.2%. So it's really showing the continuous and gradual margin improvement in that segment. We pretty much had stable margins across all product families with, and I mentioned that before, the clean power management product, SFC Canada, having a margin increase. So what does it mean for our midterm or long-term gross margin? You know, when we say, increased it, that our clean energy margin needs to be above 45%. Yeah, we are well on track. And the clean power management margin needs to be well above 32%. So also there we are on track, obviously with a little bit of a basis still to go. Going into the EBITDA, the EBITDA adjusted came up to EUR6.3 million, which compares to the EUR9 million in Q1 2024. On the margin side, that means an EBITDA margin, adjusted EBITDA margin of 16.4%, comparing to 22.5% in the first quarter of 2024. We said that it was an extremely high EBITDA margin, which I already mentioned that last year will be challenging to achieve on the short term. But if you look at the full year margin of 2024, which was at 15.2%, the first quarter was on the stronger side. The adjusted EBITDA excludes, as always, the non-recurring expenses and income, which are related to the provisions and additions to the capital reserve for the LTI programs and some transaction-related expenses. So pretty much analog to what we've been doing in the previous quarter. The reported EBITDA was negatively impacted by these non-recurring expenses with an amount of EUR1.6 million, which is higher than we've seen in 2024, the first quarter, which was EUR357,000. The largest portion of that are the provisions made for the LTI programs, which are the [Indiscernible] the stock options, and the PSP. They are more than EUR1.6 million in that quarter, much higher than what we've seen in the previous first quarter. It has also to do with the fact that a number of new programs have been onboarded to the first management level of certain people of the SFC Group. Quickly digging into the development and what is impacting the adjusted EBITDA, we can see that, and I mentioned that we increased the morass from 16.4% to 50.2%. We're always looking at maintaining a good balance between growth investments that we are doing, which includes investment in capacity expansion, in technology, in IT infrastructure, and at the same time, looking at the return of capital employed. One of the key impacts, the key drivers behind the EBITDA and the EBITDA margin in the first quarter, I discussed the gross margin before, so I will not go into that. If you look at the other operating expenses, the adjusted sales and marketing expenses increased over proportionally with respect to revenue when we compared to Q1 2024, making up for 11.1% of the revenues. However, the key drivers behind that was additional headcount that was added in the course of 2024, including higher marketing and travel expenses in connection with our corporate development. If we look at our R&D expenses, R&D expenses adjusted increased to EUR2.1 million, which is 32.6% more, but if you followed us in the previous course, you know that we look at R&D spend. R&D spend is defined as the R&D expenses in the P&L plus the R&D that we capitalize, which is the short in the CapEx, and the subsidies. So if we add up those three numbers, we come to an R&D spend of EUR2.9 million in the first quarter that compares to EUR2.5 million in the first quarter 2024. That's a decent 15.2% up. What are the drivers behind that? It is mostly personal expenses, and personal expenses is a combination of headcount as well as wage increases, which we had at the beginning, sorry, at the end of the quarter last year. So it shows the full impact of the first quarter of this year. We are looking at an R&D spend to revenue ratio of 7.5%, a bit higher for what we saw in the Q1, also has to do with the intensified MEA development that we are doing. In the long term, nothing has changed with our goals of having six to seven percent of revenues in R&D spend. Looking at the G&A expenses, the G&A expenses increased to EUR5.3 million compared to the EUR4.5 million. It's already adjusted, G&A expenses. What are the drivers behind it? Pretty much the same drivers as we had at the end of last year. It's increased IT and software expenses for digitization, as we mentioned before. We are moving towards a new ERP system on a group level. These are heavy investment and expenses, so not everything on that is capitalized, but also directly expense. And that is one of the, honestly, the key driver if you compare it to the previous quarters. Quick look at the balance sheet and the total CapEx, excluding CapEx for IFRS 16 accounting was EUR1 million, that compares to EUR1.8 million in Q1 2024. So you see that on a lower level again. The total split between intangible assets and PP&E was two-thirds roughly for intangible assets, one-third for PP&E. So after last year's comprehensive investments in the median production and the capacity expansion. We are first of all seeing a bit of a normalized CapEx pattern back to EUR1 million in the quarter. And at the same time, we see also the normalized pattern in terms of intangible assets and specifically driven by capitalized R&D, exceeding the investment in PP&E, which we mentioned that before, sort of shows that we have an asset light or moral asset business model. Cash and net debt, the cash freely available pretty much remained on the level of the year end, EUR60.5 million. The financial debt increased marginally to EUR4.3 million, EUR4.1 million. Same thing as we had in the previous year, working capitalized for SSE Netherlands and SSE Canada. So nothing really has changed there. And our net cash is stable or net debt, which is net cash, EUR56.2 million as a very healthy level. Equity increased by EUR2 million due to the positive earnings that we made in the first quarter. Net profit was EUR2.3 million, solid equity ratio of 72%, also pretty much unchanged to the year's end equity ratio. Cash flow, operating cash flow before changing net working capital, EUR7.1 million, below what we've seen with the EUR9.1 million in Q1 2024. Still at a very, very solid level and healthy level. Change in net working capital, so net working capital increased by EUR4.6 million when the last year we saw a decline. The ratio of net working capital to last 12 months net sales increased to 27% from 25% as of the end of last year. What has been driving that change in the net working capital? Biggest position is accounts receivables, which went up by EUR3.4 million euros at the end of the first quarter. That translates into days of sales outstanding, 12-month trailing to 98 days. At the end of last year, it was 90 days, so it's a little bit higher. Nothing that we're too much concerned about it. As always, it is a snapshot at the end of the quarter. We are pretty much within our target values. Obviously, we are attempting to bring the days of sales outstanding down. We see that the inventory increased slightly with a negative cash impact of EUR1.2 million. That was mostly driven by stocking components for the production in SFC UK. The days of inventories on a 12-month trailing was 135 days at the end of March. That compares to 131 days at the end of December, so that is not a huge increase. Then we look at the accounts payables. They increased by EUR812. That translates into days payable outstanding of 63 days compared to 66 days at the end of the year. You see that the working capital have all gone down a little bit. Again, nothing that is unusual from our side. After the change in net working capital and after tax payments, the cash flow from operating activities was EUR2.1 million. Of course, last year, we saw a much higher number with EUR9.6 million, which also results from last year's reduction of net working capital and the big de-stocking that we had at the end of the first quarter. Cash flow from investing activities, I mentioned before, was EUR1 million in the first quarter. Cash flow from financing key activities was EUR9,000 euros. That is mostly IFRS 16 related interest expenses. That brings us to a change in cash of EUR145,000. Cash remained more or less stable in the first quarter with, as I mentioned, happy investments in CapEx and in the net working capital. With that, I will return it back to Peter.
Peter Podesser: Well, thanks very much, Daniel. So, a last remark here in terms of the operative side of the business before I go into the outlook. If we look at human resources, yeah, you see the company at the end of March at 488 permanent employees. Again, an increase also to the end of last year. What we can report here and what we see is a more favorable labor market environment that also helps us to fill, let's say, open position that we still have in order to, let's say, stem the growth here. So, overall, I think it's not, let's say now, an easygoing labor market, but we definitely see it, let's say, deep tense compared to last year against the overall economic situation in the various countries we are hiring. Going to the outlook, I think you see us with justified confidence and optimism to stay in line for our year-end targets. What we really expect is a significant impetus here from the first time from our acquired business in Denmark here on the hydrogen site. We are within the plan here for the setup and the ramp up. It may all be a little more modest than it used to be when we took it over, but I think with this, we will also show that at least the targeted black zero of this business is a realistic assumption, and we expect a contribution in the mid-single-digit million revenue level. So, acquisition on track. Defense and public security. Here, after being together with our Indian partners last week for a couple of days, I think we see the pipeline there. The follow-on programs are materializing, and that is definitely an impacting factor also here going through the year, and we expect this, let's say, to materialize as of Q3 and 4. NATO countries. You might have seen our announcement here with Polaris here at the largest special forces convention and meeting two weeks ago in Tampa, Florida. Apart from this, we are seeing momentum here in the UK. We are seeing momentum in the home market here in Germany, and together with India, this, at the end of the day, will see our defense and public security business back, I'd say, at levels compared at least to last year. Asia. India, Singapore. We were in Singapore a couple of weeks ago. SG, 60 years of Singapore State being existing, there's a lot of activity, and this translates into a good business environment for security and surveillance, expect us to show good traction there. And then North America, also here, our defense and public security business shows again, I'd say, traction and projects expected here also in the second half of the year. And this all comes, and I think this is what we have to remind ourselves also, on top of the ongoing growing business here of the industrial fuel cell business as well as the power management side. And apart from the new Danish subsidiary, also the ramp up in the U.S. is within plan, and we have done most of the capacity investments and ramp up from MEAs in the UK to production capacity in Cluj, as Daniel has mentioned before. So well prepared here for further growth, and this leads us with a confirmation on the existing guidance revenue between EUR160.6 million to EUR180.9 million. Adjusted EBITDA from EUR24.7 million to EUR28.2 million, and adjusted EBIT from EUR17.5 million to EUR20.6 million, each of it counted in million euros. With this, we would like to conclude our presentation. Thank you very much, and look forward to your questions and comments.
Operator: We will now begin the question and answer session. [Operator Instructions] The first question comes from Usama Tariq from ABN Amro/ODDO BHF. Please go ahead.
Usama Tariq: Hi, good morning, team. I hope I am audible.
Peter Podesser: Yes. Can you hear me?
Usama Tariq: Yes. Thank you for the opportunity. I just have a small set of questions, number one being on OpEx. We have seen a rise in OpEx. Do you have any visibility going forward into the next three quarters, and do you see them stabilizing, or do you see them growing at the same rate? My second question would be with regards to the order book, the Polaris Agreement. When do you see that coming into the order book? Thank you.
Daniel Saxena: Good morning, Usama. This is Daniel. So with regard to the OpEx, we see them stabilizing, and if you look at the end of this quarter, you see when it comes to the most OpEx position, there are comparable to what we've seen in the previous last quarters. We will, of course, have plans to add some headcount over the year, but we do not see a big jump for the time being that we've seen last year with the expansion of capacity that we did, including the expansion of our technology capability, which was really driving a large part of our headcount that we added last year, notably SFC UK, also SFC Romania, where we increased the capacity. Also, the whole admin staff that we have, whoever sees our de-publication, respect all those things. So most of those structures are really in place right now, and we don't see any huge jump in the OpEx for the next couple of quarters. We may increase here and there, but no big jumps. At the same time, of the gross margin, you know our long-term or short-term gross margin targets. So also there, if you don't see any significant negative impacts from exchange rates and or customs, we would not expect any big impact or negative impact on these margins.
Peter Podesser: So good morning, Usama, Peter. In regards to the collaboration with Polaris, we see first tenders out there in different NATO states here for this specific program. And we see potential initial piloting still happening in 2025, but then the impact in terms of revenue to a great extent, really starting ‘26 and then going into ‘27, which is the usual, let's say, cycling from a piloting to really then fleet operating. So the bigger impact starting ‘26 to ‘27.
Usama Tariq: Thank you. That would be all. Thank you so much.
Peter Podesser: Thank you.
Operator: The next question comes from Karsten von Blumenthal from First Berlin Equity Research. Please go ahead.
Karsten von Blumenthal: Good morning, Peter. Good morning, Daniel, and thanks for taking my questions. First question is regarding order backlog and order entry. It looked a bit weak, the order entry. So could you give us a bit of flavor what happened in April and in May so far? And obviously, as Peter mentioned, you see a stronger H2, because a lot of programs will obviously start in H2, especially in the defense business. Is that right way of seeing the year?
Peter Podesser: Well, good morning, Karsten. Thank you very much for being with us. Well, first of all, naturally, we saw a spillover here beginning of the year from a very good order intake here in Q4, which made it, let's say, a soft start and not surprisingly, a soft start here for us beginning of the year, picking up again in March timeframe. And overall activity and project pipeline is, let's say, activity is good and project pipeline very solid, which gives us still, let's say, the confidence to bring this ratio back up. But also reminding on to, let's say, the historical pattern. We have those, let's say, waves and a certain cyclicality in there that is at the incoming, let's say, from a junkie power business and a project-based defense and public security business. So the continuous inflow of orders here on the industrial side is then topped up by those two elements. That's why, as always, not happy with, let's say, lower numbers compared to previous numbers, but not concerned in a way.
Karsten von Blumenthal: Perfect. That helps. Could you elaborate on Trump tariffs? I mean, my feeling is that you acted quickly, that you have done it right by shipping a lot before the tariffs materialized and you started the local production, or at least you built up the local production. But what do you now after this very strong Q1 figures in the U.S. with 61% growth, what is now your impression regarding orders from the U.S.? I mean, now I think you have to pay, please correct me when I'm wrong, 10% tariffs when you ship to the U.S. Yeah, perhaps you could elaborate on how you see the situation now. I mean, it's not as bad as at the beginnings, but still someone has to pay the tariffs and that will not help demand in the U.S. So perhaps you could explain the situation in detail.
Peter Podesser: If we differentiate here, as also you summarized it well -- yeah, we've taken some measures, some of it pretty simple ones by simply shipping more in accordance and with the support here of our key customers to their locations already. In addition, we did some additional stocking here with us in the U.S. and also with our logistics partners, especially in regards to fuel cartridges. So we are fully covered here throughout the mid-year into August timeframe. Therefore, yeah, we will see an impact here in Q2, which I think is then explainable and expected. And at the same time, we had started to prepare for local production and for, let's say, basically copying what we had done two years ago in India also to overcome a, let's say, protectionist system there by simply localizing our assembly first and then naturally looking into the supply chain. And all of this has started before the tariffs discussion has started. And we are, I think, on a good way here within the next 150 days to get our own systems built there. And then the residual impact is on component level. And therefore, yeah, part of the cost at the end is already in our planning. Part of it is then at the end, a shift of margins here from Germany to our U.S. subsidiary. Well, and the third part then is the discussion we have to conduct with our customers to look at, let's say, our final pricing. As said, that's a range of 5% to 6%. And we feel part of it is digestible. But part of it, yeah, we simply have to compensate by cost reduction here on component level, which I think part of it is already done. So therefore, overall, within our planning for the year, I think we have factored this in. In regards to price sensitivity of customers, naturally, there is always let's say, a level of price sensitivity. But then going back to, let's say, the key part of the customer base, CapEx is, let's say at the end, not the single deciding factor. It is the total cost of ownership price. And if we can, by localizing the fuel supply, by reusing transportation costs there, overcompensate the, let's say, sticker price effect, that goes a long way. And so therefore, again, you see me really confident in this part. Based on current knowledge with, let's say, the speed, the administration in the U.S. sometimes is changing some boundary conditions where we will have to assess this when we know it. But from today's point of view, I think steps are in place and we are executing on.
Karsten von Blumenthal: Perfect. Sounds good. One last question regarding the dollar, which has been quite weak in recent weeks following the tariffs. That has an impact on your Euro calculations and of course, on your competitiveness. What is your view there?
Peter Podesser: A view on the further development of the dollar or on our competitiveness and our prices?
Karsten von Blumenthal: Yeah, I mean, the weak dollar should have an impact on your competitiveness and on your balance sheet in Euro.
Daniel Saxena: Like I said, you'll see that it has some benefits. It has some benefits on some level. Then again, it has some disadvantages. So it does have an impact on it. It's not overly strong. Remember, the dollar is just one of the many currencies we trade into. So looking at this isolated would not give you a proper entire picture. We have substantial, as you know, also Canadian dollar activities. Also, to some extent, INR. So it can be a benefit, but then you also purchase a U.S. dollar. So you cannot only look at isolated on the competitiveness. That would give you not the right picture. And at the end of the day, with other input factors, as Peter already mentioned, not only capex, but also total cost of ownership, it is just one component that has an impact, but I would not say it's super material.
Karsten von Blumenthal: Perfect, Daniel. Thanks for clarifying that and thanks for taking my questions.
Daniel Saxena: Thank you.
Operator: The next question comes from Michael Kuhn from Deutsche Bank. Please go ahead.
Michael Kuhn: Good morning. Thanks for taking my questions. Mostly follow-up questions and coming back to the gross margin once more. Obviously running against very tough comps in the first quarter with softening in the next few quarters. But let's say, just focusing on that current level in between 44% and 45% and having the various moving parts in mind, currency, input factors, tariffs from the second half onwards. Are you confident you can keep the current level of, let's say, between 44% and 45% over the course of the year?
Daniel Saxena: Good morning, Michael. Yes, we are confident that we can keep that level. It of course, is always a function of a product mix and retail mix and also a function of key and target market risk. So we do, as Peter mentioned it, that the portion of public security and defense revenue will increase over the year. That tends to be much higher margin revenue, which has a positive impact. We still expect to have a very solid U.S. business, North American business, which also tends to be higher margin. There, of course, depends on, a weaker dollar would also help. We'll see what the tariffs will do, what impact the tariffs will have and how they can be set off. But also there, as we mentioned, there are various options that we're looking at and that we're ready to implement. And then, of course, higher revenues also set off the production overhead where we get some leverage. So long, very long answer to your short question. Straightforward, yes, we are confident when it comes to the segment clean energy with the various drivers. When it comes to the segment clean power management, also there, we are confident to keep margins at a high level. Will we hit exactly that gross margin of this quarter? To be seen? But are we going to stay on that level? Yes, we are very confident, which has to do with contracts, long term contracts that we have in SFC Netherlands with an attractive customer base that are higher margin of what we've seen last year. It also has to do and we'll look at SFC Canada, where we are very confident to maintain that pricing level. But all the input factors on the pricing level are positive. And we don't see our production costs and the cost of raw material increases significantly.
Michael Kuhn: Thanks for that. Then one more on, let's say, pipeline and business evolution. Obviously, you can't talk about specific projects. Still you mentioned U.S. defense, maybe a better idea on when that could materialize. And on the industrial side, you mentioned 15% growth in the first quarter. Was that mostly surveillance or also backup power? And maybe also a few more comments here on the remainder of the year, where you expect the growth to be mainly stemming from.
Peter Podesser: Absolutely. Well, good morning, Michael, Peter. Pipeline and business evolution, as said, yeah, defense and security apart from North America, which includes projects also in Canada. And I think we will see within the year either or, or even both materializing here until the end of the year. And looking at, as mentioned, India, we will see this already earlier. And therefore, I think here we, let's say, see a totally different development compared to now the beginning of the year, where, as you mentioned, we have the tough comparison here to a big program in India being realized a year before. Industrial part of the fuel cell business, here I think what we see is a continuous and healthy, broadly distributed growth. The one part is naturally surveillance CCTV. Here we see, I'd say, an initial also start of a large key account in Canada coming on top of what we saw last year. And we are seeing a broadening of acceptance in the U.S. apart from Lightfield [ph] being our core customer. Most of it will here in the U.S. develop, as mentioned, with all the shipments we have done now in the second half of the year. In Europe, broad across the regions, and apart from, let's say, CCTV and surveillance still, let's say, wind energy and let's say, industrial backup in a broad sense are the drivers here of the industrial business. What we have here is a new, large customer developing after quite some, let's say, adoption time in traffic, traffic management and traffic security systems. We did very successful projects here last year, and we are getting into a, let's say, routine supply situation, talking about, let's say, 50, 60 integrated energy solutions initially. But as this company is operating here throughout Europe, and it's also driving expansion into the U.S., I'm pretty excited about this. And we are seeing their headquarters, senior management also early June to see how we can roll the business out internationally.
Michael Kuhn: Thanks for that. On your comment on Canada, in the last call, you mentioned GardaWorld, so I guess you're making progress with that customer as well.
Peter Podesser: Exactly. That's, let's say, where we are getting now into, I would say, what we would call serious volume, talking about, more than 100 units deployed and talking about now, how we can roll this out with them together.
Michael Kuhn: That's good to hear. And then last question on your digital services, you talked about predictive maintenance and stuff like that a couple of times in the past. Are you making progress here as well? And let's say, from when on, we should think about that business as a, let's call it significant or worth mentioning revenue contributor.
Peter Podesser: I think here, if you look at our cloud functionality here, what we have, I'd say, now done and implemented over, the last two, three quarters, is really making sure we are getting, I'd say, as many new units shipped, registered in the cloud. And with this, overall, we adapted our strategy and offered an initial cloud access to existing units for free to make sure everybody can test this right now for 6, 12, some of them, even 24 months. This might look as, let's say, losing revenue. I would say, yeah, on the short end, yes. But the moment we see now our customers getting used to it and seeing really the impact and the material lever this gives them to improve their operating situation and bring, let's say, uptime up, bring operating costs down. And we are supporting them with the analysis, I think is the right basis then of having continued and satisfied cloud users. So real, apart from, let's say, a $0.25 million of revenue that is already in there, I think for '25, we do not see this as significant. And as of '26, we will have it picking up. We have right now, let's say, a five digit number of EFOYs already registered in there. And we see an acceptance rate here of newly shipped EFOYs that is beyond 80%, which I think is a good and growing basis here of future business. But honestly, significant contribution to the top line. Do not expect this here before '26.
Michael Kuhn: That's good. And then a very last question on public infrastructure. Obviously, quite a lot of discussion going on vulnerability of infrastructure currently and how to improve that. Do you expect or do you see new discussions coming up here in terms of surveillance, also of remote infrastructure across Europe, eastern border, but also in the country where we've seen repeated attacks and where we seem to be in a state of hybrid warfare already? And what could that be in terms of business opportunities?
Peter Podesser: Well, I think if we look at the current situation, it's not so much, let's say, the infrastructure package that is being, implemented by the new government here in Germany that has now the direct impact here. It is more, I'd say, what has happened over the last three years by witnessing here, I'd say, the situation in Ukraine and see how vulnerable critical infrastructure is. If we look at our business, most of the higher power systems, including also our hydrogen systems, go into a backup for infrastructure. So that's an ongoing process. And if we look at it, yeah, I was in Scandinavia just recently, naturally in Denmark, talking to, or seeing, how the ramp up there goes on. We met partners from Scandinavia here, and we see naturally active project pipeline now evolving, talking about the borders here in Finland, and also in in Latvia and other areas there. Is this already materialized? No, but the activity is non-comparable to what it was before. And in addition, also defense and security, just for completeness sake, we have not done, I would say, any significant defense business in Denmark so far. So last three months, we were invited to present the whole offering here three times to relevant decision makers. So the environment is fundamentally changed there. And the one is really strict defense, and the other part is really resilience and border protection. Well, resilience of infrastructure and border protection. And for both, I think we have appropriate product offerings. And again, this doesn't happen now within, a few weeks' time frame. We know it is about piloting and going out, but the overall environment also drives an increase in speed here for adoption and decision making. That's I think, what we are witnessing right now. Without having it today in the order book, but also not seeing too many competitive solutions out there. This helps us naturally.
Michael Kuhn: Understood. Thanks for your answers.
Peter Podesser: Thank you very much.
Operator: The next question comes from Malte Schaumann from Warburg Research. Please go ahead.
Malte Schaumann: Good morning, guys. First question is follow up on the order backlog, order entry. So how much of your backlog is scheduled for delivery shipments in 2025?
Peter Podesser: Well, out of the $84 million that you see there, a good $20 million is scheduled for '26, especially also on the power business here with a single big customer. What we usually see also with their growth, some pull in. So I would say slightly below $20 million resides there for 2026.
Malte Schaumann: Okay. So that leaves you with, let's say, $70 million in orders required to reach the midpoint of your guidance until maybe early October or so. And this is what your pipeline, what you see in the pipeline. So, yeah, I mean, you've expressed.
Peter Podesser: Exactly. At the end, what you look at it is if you see, what we do is the first quarter, also our view on the second quarter, doubling it, as said, with an underlying growth here on the industrial and also on the power business. And then we know we will have some additional impetus and impact here, as mentioned. Regionally, Asia and North America, but also on defense and public security with the projects in the pipeline. So it's definitely a timing. Yeah. And would I prefer to have it already in the books? Yes, still. Knowing this business and also seeing the decision making process right now and the probability that is attributed to the single programs, again, justified confidence here, at least from our perspective or from my personal perspective.
Malte Schaumann: Okay, good. Then on India, I mean, recently there have been news about rising tensions in the region. Does that impact your discussions in regards of timing of projects, volume of projects?
Peter Podesser: Yes, definitely. As I said, we were together with our Indian partners here for a couple of days last week, and part of it is the usual business and the planning where we had to see that the adoption takes also slightly more time than anticipated. And that's why we are looking at the situation as it is in terms of Q1 comparables. But then at the same time, we are looking at accelerated procurement projects in the pipeline, where we also have to confirm here short delivery dates. And as we speak, we are doing this. Decision making, honestly, not even our partners could tell us. But what we see right now, I think that's within the summer month. Otherwise, we would not be able to ship it anyhow until the end of our fiscal year, which is the calendar year. So there is activity and procurement requests out there on short notice.
Malte Schaumann: Okay, good. Then on Polaris, maybe can you elaborate a bit on the potential business volume you might expect for 2026, 2027?
Peter Podesser: At the end, we know naturally the numbers of that are out there in the tenders in the different NATO states. And as we are the only fuel cell specified here with, let's say, those requirements, the probability is naturally correlated also to, let's say, the execution of the tenders. But overall, a tender volume is, let's say, beyond a thousand vehicles in each of those tenders. I would not expect every single one to carry an Emily [ph]. But if we have, let's say, a 25% to 33% percent, so every third vehicle here equipped, this would leave us with a significant impact here from 2026 and 2027 on. Again, knowing the defense world with all, let's say, their attempts to accelerate the bureaucratic, and this might now sound negative, although I'm really excited about it, the bureaucracy has not changed. And the acceleration attempts, I would say, in some countries, I would say, yes. In other countries, I do not see, an acceleration in process. So therefore, allow us to, specify this really at the point where, we have this visibility then. Still, the fact alone that this is specified and the fact alone that those tenders are out there is naturally the initial step of not only our collaboration, but then also future procurements. We keep a realistic view on it. And it is not just Polaris we are talking to on the OEM level. So it is within Germany, it is within the other countries we are active, including India. It is a clear strategy to have our fuel cell as a standard off-grid or on-vehicle APU, auxiliary power unit, in order to also multiply our market access. And we started this OEM program, yeah, way back. So it's good to see this movement. And naturally, it was the right audience there in Tampa with all the special forces of the world gathering, except naturally some countries. But still, we keep a realistic view.
Malte Schaumann: Okay, many thanks. Sounds good.
Operator: The next question comes from Nicole Winkler from Berenberg. Please, go ahead.
Nicole Winkler: Thank you for taking my question. I only have one question left and regarding Q1 2024, actually. So, in your press release, you stated that the impact of this major order in India on revenue was more than $10 million. Can you also quantify the impact on EBTA last year?
Daniel Saxena: Hi, Nicole. This is Daniel. So let me give you an idea on the gross margin, right, and all the way down to the EBIDTA and the difficulty and the challenge you will need to track it on order by order, giving also the ramp-up that we did in SS India. So we know that those margins there tend to be -- gross margins tend to be above 50% in the defense sector, to some extent, even a little bit higher. But again, we do not discuss margins on single customer basis. And we also do not discuss margins, and we don't want to discuss margins for single customers, and India would be a single customer. So you may understand that this is something we would refrain from this close, but it's very attractive.
Nicole Winkler: Okay, understood. Thank you.
Operator: Ladies and gentlemen, that was the last question. I would now like to turn the conference back over to Dr. Peter Podesta for any closing remarks.
Peter Podesser: Again, yeah, thanks very much to all of you for staying in. And we are available here for bilateral discussions and questions and any follow-up clarification. Daniel, Suzanne, myself as usual. And yeah, you see us here going further into the year with the right level of dynamics in the market. And I would say a healthy optimism with, let's say, the realistic view of timing and execution. Thank you very much.